Operator: Good day and thank you for standing by. Welcome to the Second Quarter 2023 Shutterstock, Inc. Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Chris Suh, VP, Investor Relations and Corporate Development. Please go ahead.
Chris Suh: Thanks Abigail. Good morning, everyone, and thank you for joining us for Shutterstock's second quarter 2023 earnings call. Joining us today is Paul Hennessy, Shutterstock's CEO; and Jarrod Yahes, Shutterstock's CFO. Please note that some of the information you'll hear during our discussion today will consist of forward-looking statements including without limitation, the long-term effects of investments in our business, the future success and financial impact of new and existing product offerings, our ability to consummate acquisitions and integrate the businesses we have acquired or may acquire into our existing operations, our future growth, margins and profitability, our long-term strategy and our performance targets, including 2023 guidance, absolute results or trends could differ materially from our forecasts. For more information, please refer to today's press release and the reports we filed with the SEC from time to time, including the risk factors discussed in our most recently filed Form 10-K for discussions of important risk factors that could cause actual results to differ materially from any forward-looking statements we may make on the call. We'll be discussing certain non-GAAP financial measures today, including adjusted EBITDA and adjusted EBITDA margin, adjusted net income, adjusted net income per diluted share, revenue growth including by distribution channel on a constant currency basis, billings and free cash flow. Reconciliations of these non-GAAP measures to the most directly comparable GAAP measures can be found in the tables included with today's press release and in our 10-Q. I'd now like to turn the call over to Paul Hennessy, CEO.
Paul Hennessy: Thank you, Chris. Hello, everyone, and thank you for joining us today. I'm thrilled to walk through Shutterstock's second quarter with you this morning as there are some extremely exciting developments in our business. Before going into the details, I'd like to start by providing a bit of context. Back at our Investor Day in February, we talked in depth about our content, creative and data engines and the massive opportunities we see driven by step change innovations such as generative AI, and we also spoke about the potential for creative and data to become a more important part of our overall revenues. I'm pleased to report that as reflected in our second quarter results and our revised full-year outlook, Shutterstock is not only adapting but it is thriving in this dynamic environment. We are signing industry shaping AI data partnerships, we acquired Giphy to lead the way in moment marketing and conversational content and we are embracing a culture of rapid and iterative experimentation when it comes to managing our content business. At the same time having achieved record revenue in EBITDA on a year-to-date basis, I'm pleased to report that we are increasing our guidance on top and bottom line for the full year 2023. In addition, beginning today we will be breaking out the revenue derived from our data engine. As a reminder, our data offering is driven by our ability to monetize our unique repository of metadata which customers license for model training purposes. This includes our multi-year partnerships with large tech companies such as OpenAI, LG, Meta, NVIDIA and now our newly announced transformational partnership with Google. With this new disclosure, we believe that investors will have greater visibility into the scale and trajectory of a major growth driver of our business. Let's shift gears and talk about our performance. Shutterstock delivered another strong quarter of profits generating $60 million in EBITDA, representing a 29% margin and $209 million in revenue. Within E-commerce, we are not satisfied with our year-to-date results. While the macro environment has been weak and the competitive landscape is robust, we believe that we have also underinvested in marketing and that there is an opportunity to improve our conversion funnel and get back to growth in this business and we are pleased that we have run more experiments in the second quarter than we ran in the past three years combined with a focus on conversion effectiveness. Looking at the second half of the year, we will continue optimizing our pricing and simplifying our packaging while also ramping up paid marketing spend with a careful eye towards return on investment. In E-commerce, we are also closely tracking the creation and download patterns of generative content and any impact on consumption of non-generative content. Since the January launch of our AI image generation platform in partnership with OpenAI, users have created more than 35 million new images. Although customers are experimenting and creating images in large quantities, they are not however downloading such images and substituting them for original content and marketing campaigns in any meaningful way. Despite our efforts to market and make available generative content as a new content type for Shutterstock customers, we're not seeing any near-term use of generative content in lieu of original stock content at this point in time. Although creation and experimentation with generative content is high, we believe the concerns about indemnification and intellectual property along with lack of true photo realistic outputs are holding back widespread adoption for actual marketing campaigns on social media and in the programmatic ecosystem. We believe that adoption rates will increase as photo realistic outputs improve for platforms that use properly license data such as Shutterstock's image generator. As adoption of generative AI for marketing campaigns gains traction and we believe it eventually will, we strongly believe Shutterstock is positioned to be a winner in this new content type. Within Enterprise, we're seeing consistent growth aided by editorial and our SMB subscription product offering. On the heels of acquiring Splash last year to become the leader in trending and entertainment editorial content, we recently launched editorial subscriptions giving clients from fashion bloggers to large global media organizations, the opportunity to tap into budget friendly subscription of exclusive content. Editorial subscriptions have been well received by our customers and we are excited about the early momentum and pipeline of demand. We are further investing and expanding editorial content and we are seeing [technical difficulty] revenue growth rates in editorial today. We also recently rolled out our generative AI indemnification offering to our enterprise clients. We're excited by the potential here as research suggests that 93% of enterprise customers say that the indemnification for generative AI content is an important factor when choosing a vendor and 45% say that liability concerns are the biggest barriers to generative AI usage today. Our indemnification offering removes this barrier. This represents a tremendous opportunity for us to guide our customers and get them more comfortable leveraging generative content in marketing campaigns. As I mentioned earlier, our business is evolving quickly as reflected in the growth of our creative and data engines. Just three years ago, our creative engine consisted mainly of our Platform Solutions business providing API connectivity to our content. Since then, our creative engine has expanded into studio production services into creative flow creative design tools and into advertising and conversational content solutions through our recent Giphy acquisition. And I'm thrilled to report that this engine is humming. A few highlights that I'd like to share. Within our creative engine in the past year, Shutterstock Studios delivered an estimated 50,000 unique productions for global brands and agencies across 40 countries spanning photography, video, animation, virtual production and 3D. Shutterstock Studios has garnered numerous awards and recognition, including most recently at the 44th Annual Telly Awards where it was recognized for the quality of its work for such customers as Allergan, Bayer, Carvana and Lenovo. Perhaps the most exciting part of our creative engine will be the impact of Giphy as we look to leverage its incredible content from skilled artists and media partners, its massive distribution through thousands of API use cases and its scaled engagement with more than 1.7 billion daily user reach. We believe that this incredible platform will, one, extend our reach into conversational content; two, be an industry leader around moment marketing with real time conversations and events; three, expand our API relationships with major tech giants and four, afford us the opportunity to monetize massive mobile audience base. Just one month into our ownership of Giphy and we're already fielding interest from advertisers who share in our belief that Giphy's content is something you share rather than something you skip. We are massively impressed by the talented team at Giphy and together, we are making progress on getting our ad platform up and running faster than we initially expected. We expect to be in market with advertisers as early as end of this year. Meanwhile as generative AI applications become ubiquitous, the flywheel spinning much faster than we would have expected in our data engine with Shutterstock benefiting from a dramatic uptick in customer demand and accelerating data supply from our contributor community. As such, we believe we are now at a point where it is useful to provide greater visibility on the size and growth of this business, which has gone from $4 million in 2021 to $20 million in 2022 to $34 million in 2023 year-to-date. From a demand perspective, we have seen a significant uptick from the world's largest tech platforms from our Metadata - for our Metadata for training generative AI models. Over the course of the past few quarters, Shutterstock's dataset has effectively become a must-have for large technology software and social media platforms developing multi-modal generative AI products. These companies are undertaking significant operational and legal diligence complete with trial evaluations of our data before selecting Shutterstock. Driving our continued traction are five differentiators that clients consistently site; one, our massively scaled library larger than anything else available in the market for generative AI model training. Two, the richness accuracy and process review consistency of the Metadata. Three, our strength across content types with the largest video and 3D model collections and four, the peace of mind - that our content is cleanly licensable and not derived from web scrape dataset. And lastly, our demonstrated experience providing data updates on a regular basis and as always we pay our contributors royalties for their contributions or allow them to opt out. Deal sizes have rapidly increased in size and scope. Average TCV has increased from $350,000 in 2021 to $3.5 million in 2022, and the $7 million plus in 2023 driven by an increase in customer interest in licensing larger elements of our library, as well as increases in price per asset. Customers are also consuming refreshes of our training data, and there is an opportunity to provide them ongoing Metadata enrichment. As the pipeline broadens into companies of different sizes across industry verticals, we expect evolution on customer deal size, pricing, and delivery mechanism. In the second quarter, we signed a strategic partnership with Google that includes a five-year content and data partnership across Google products and services. Google selected Shutterstock for our global coverage of digital media to enhance product, and user experiences across Google. The partnership represents a multi-fold expansion of the long-term content API relationship we've had for many years. Looking ahead, we have a robust pipeline of data partnerships for the second half, also we have won over $85 million in bookings in calendar 2023, and data partnerships with large technology platforms inclusive of our recent deal with Google. On the supply side as our data engine accelerates, we've been incredibly encouraged to watch the contributor base grow this year, both in terms of new contributor sign ups as well as through an increase in content submissions, from existing contributors. Our supply flywheel is spinning faster and faster. Year-to-date contributor submissions are up almost 30%. The average number of new contributors every month has also doubled over last year. We went from $2.4 million in Q1 to $2.7 million contributors in Q2. This is the largest uptick we have ever had in contributors in the 20-plus year history of Shutterstock. As a result, our content library is now at $784 million licensable assets making Shutterstock the world's largest licensable and ethically sourced creative content marketplace. The growth in our library is purposeful and strategic. In the second quarter, we expanded the amount of content available for data licensing by bifurcating our content ingestion and review process. As a result, we now have a separate pipeline for content more appropriate for data training while ensuring that we are not diluting the quality of the content for traditional advertising purposes and the efficacy of our search experience. As we have communicated previously, for all data partnerships, we pay into a contributor fund to compensate our contributors for their content and data. We are making the right investments today to be able to scale in the near future to billions of licensable assets for generative AI training. In closing, we are reinvesting significantly into our future engines of growth while running a highly profitable and cash generative business. We are reinvesting in the content engine and see tremendous potential to benefit from generative AI and be a winner with our creative and data engines representing an increasingly important part of our business. As I said in the last quarter, our journey as an end-to-end creative platform that leverages our content, creative and engines is full steam ahead. With that, I'll hand the call over to Jarrod to discuss our financial results.
Jarrod Yahes: Thank you, Paul, and good morning everyone. The pace of change in our business is clearly accelerating, and we are uniquely capitalizing on some of the demand that generative AI is creating particularly in our data engine. Going forward, beyond some of the new disclosures provided around data revenues, and average deal sizes in bookings, our aim is for our financial disclosures to keep evolving. This will be important, as we expect our creative engine including Giphy, and our data engines to become larger parts of the overall company in the years to come. Overall, revenue growth was muted for the second quarter and foreign currency fluctuations did not have a significant impact on our revenues. Consistent with the past several quarters, we've had significant differences in growth, between our revenue channels. The Enterprise channel was up 22% in the second quarter driven by our revenue from our data engine, which grew to $70 million in Q2, 2023, a record quarter. We are excited to be able to disclose the size and growth of our data business this quarter, announced the recent partnerships with Google and Open AI as well as to start to talk about the significant growth in average deal sizes and bookings for the very first time. Our Enterprise channel growth was also helped by growth in editorial, Shutterstock studios and SMB subscription products which are areas that have consistently grown over the past year. Our E-commerce channel was down 12% in the second quarter, driven primarily by weakness in new customer acquisition. Consistent with past quarters, we've experienced no change in customer attrition across product lines and geographies. Our subscriber counts were stable sequentially indicating, the relative strength in customer retention in our smaller subscription products. However, from a geographic perspective, the U.S. and the rest of the world were softer as compared to prior quarters. Paul reviewed some of the measures we're taking prospectively to improve the performance of E-commerce including increasing marketing spend, improvements in the conversion funnel, and experimentation in pricing and packaging. Reported gross margins declined by just over 3%, driven by higher M&A amortization and Giphy Retention Compensation. Giphy Retention Compensation had minimal net cash impact to Shutterstock in the quarter, as these costs were funded by the seller of the business and are added back for purposes of calculating adjusted EBITDA. Sales and marketing expense in the second quarter was 23% of revenue compared to 26% in the second quarter of 2022. The second quarter of 2022 included certain expenses related to [con] that would have increased spend in that quarter. We expect full-year marketing spend to be between 24% and 25% of revenues consistent with 2022 as we dial-up performance marketing spend in our E-commerce sales channel in the second half of the year. Product development was 14% of revenue compared to 8% of revenue in the second quarter of 2022, nearly all of that increase is due to Giphy Retention Compensation that again was reimbursed. G&A expenses were 18% of revenue compared to 16% in the second quarter of 2022, driven by $5.4 million of higher noncash stock-comp costs, and $2.9 million of operating expenses associated with Giphy Retention Compensation. G&A also included $3 million in Giphy related deal expenses such as legal and banker fees, and $0.5 million of other expenses that were reimbursed by the seller. We grew adjusted EBITDA by 23% year-over-year to $60.1 million, and adjusted EBITDA margins were up 510 basis points to 28.8% driven by modest revenue growth, and powerful operating leverage combined with prudent cost management. We are well above where we expected from a margin perspective year-to-date, and have the flexibility to invest to accelerate growth in the second half of the year. Turning to our balance sheet, we had $87 million of cash at the end of the quarter and exhibited strong free cash flow generation of $33 million. During the quarter, we also drew down $30 million from our revolver to fund the acquisition of Giphy. Our deferred revenue balance was $207 million, up from $181 million last quarter. During Q2, we closed on our acquisition of Giphy for $53 million in net cash inclusive of working capital. The transaction was determined to be at a significant discount to fair value from an accounting perspective, and so, we recognized a $42 million bargain purchase gain in the second quarter. As part of the acquisition, the seller of the business will make $124 million in future cash payments to Shutterstock to offset certain compensation, and operating expenses, that will be recorded as operating expenses in our P&L. And to the extent that they are non-recurring, will be added back to adjusted EBITDA for our disclosures. During Q2, we also announced a new $100 million share buyback program and we repurchased 80,000 shares for $4 million. For most of the quarter, we were in a closed purchase window, but anticipate being more active where appropriate with our share repurchases in the quarters ahead. In addition, during the quarter, we paid $10 million related to our quarterly dividend. Even after executing on the Giphy acquisition in Q2, we are on the lookout for attractive bolt-on acquisitions, and we're finding that the market is getting increasingly attractive across a range of opportunities. For the full year, we are raising our revenue guidance to 3% to 5% growth or revenues of $852 million to $869 million. While our E-commerce channel has been softer than expected, our rapid growth in data partnerships is more than making up for it, and the rest of our enterprise channel has been performing in line with our expectations. Consistent with past practice, we are providing guidance on total revenue rather than individual business lines or sales channels. However, because of significant differences in growth rates across our channels, we'd like to provide some helpful color on our guidance assumptions. Our guidance assumes no recovery in E-commerce revenue growth rates this year, as compared to the second quarter in spite of the expected increase in marketing spend in the back half of the year. We expect, our data revenue in the second half of the year, to be higher than the record first half of the year performance, and we are maintaining our approach to our data pipeline where only inked deals contributing to revenue, are included in our guidance. In addition to revenues, we're raising our guidance for full-year adjusted EBITDA to $227 million to $235 million. Adjusted EBITDA as reported for the second half of the year is burdened by $16 million of Giphy operating expenses that have been reimbursed by the seller, making them cash neutral for the business and also - factors increases in marketing spend in the back half of the year. It's clear that our business is operating with exceptional profitability, allowing us to reinvest for growth while pursuing further M&A, and returning capital to shareholders through both dividends and share repurchases. As always, this management team is focused on driving cash generation and profitability and balancing that with the growth opportunities that are emerging around us in our content, creative and data engines. And with that operator, we'll open the line for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Bernie McTernan with Needham and Company. Your line is open.
Bernie McTernan: Great, thank you for taking the questions, maybe first Jarrod just a clarification on the point you just made that only inked deals are included in the guidance for data. Can you just remind us of the revenue recognition for Computer Vision deals and how much is recurring or deals that have just been signed but have not been recognized yet and more, I guess, specifically is, is it the Google deal the revenue hasn't hit yet even though it's been signed and that's what's driving that second half acceleration revenue?
Jarrod Yahes: Sure Bernie. And to take a step back, I think when we first started talking about some of the positive contribution of our data deals. This was a pipeline that we did not have a lot of experience in converting and so, as such, we elected to keep out any deals that were not inked and signed in terms of thinking about our guidance and thinking about our prospects. And we did not effectively include a probability weighted pipeline into our guidance. We're maintaining that same approach. We do now have the Google deal inked. To clarify your question, Google did not contribute to any revenue in the second quarter. So that will help us prospectively as the year goes on. And what we're seeing with these deals is while we're not achieving what you would think of as traditional SaaS revenue recognition, the nature of these deals is recurring in that our customers do expect and we do deliver ongoing data refreshes over the life of these contracts and these are typically three-to five-year contracts, some have been as long as six and seven years. And so we are seeing that that revenue recognition is getting increasingly spread over the life of the deal; however, it is still to some extent front-end loaded and not truly SaaS like in terms of, in terms of its terrific nature.
Bernie McTernan: Understood. And then any early progress to share on conversations with enterprises on the new indemnification product and is that part of the increase of the guide in '23?
Jarrod Yahes: No, I would say that those conversations are now underway. We've launched the indemnification product as you know, Bernie, recently and then it takes time for especially over the summer to get to all of the enterprise customers to see what they're thinking, understand exactly what they're looking for and we're optimistic having done the work of surveying them what's most important, this is a critical factor and we think again as photo realistic quality rises and as we've now created a structure where they can create with confidence using our generative AI images, we think that that market picks up, but that's not really part of the guidance for the back-half.
Bernie McTernan: Understood. And then just lastly for me, would love just some more commentary on the decision to lean in on sales and marketing in the second half, it doesn't seem like you guys - it seems like the issue on E-commerce is more of a conversion issue than top of funnel but, or maybe it's getting the right SMBs in that top of funnel but just if there's any further clarification?
Paul Hennessy: Yes, I'll it, look, you heard about our experimentation engine. It is rolling and, and we firmly believe that the way to truly understand what customers are looking for, what their behaviors are, understanding how they want on pricing and packaging, you've got to be, have a platform for experimentation at scale and we've got that now and you heard the, you heard the results. So, as we start to experiment, as we start to drive conversion, we also want to remind customers to come back into the franchise and look at all of the content types that we have, and all the pricing packages that we have, as well as all of the tools that we've now developed over the past couple of years. So, when you put all that together, we think we might have pulled back too far on the marketing lever and we're going to again judiciously expand to make sure that we hit our ROI targets, but, but continue to be top of mind as the place to go as an end-to-end creative platform.
Bernie McTernan: Got it. Thanks, Paul. Thanks Jarrod.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Andrew Boone with JMP Securities. Your line is open.
Andrew Boone: Good morning, thanks for taking my questions. I wanted to follow up on Bernie's question, it seems like there is going to be about $70 million at least of data revenue in terms of 2023. How do we start to think about net revenue retention of that in '24, right? So, it sounds like you guys are expanding, there seems like you're taking a little bit of price, but is there a way for us to ballpark how we think about that net dollar retention next year?
Jarrod Yahes: Boone, so, the first thing I would say is, we are over the moon in terms of the demand that we're seeing for this product offering. I think if you were to kind of think back 12 to 18 months and we would have thought about the evolution of demand for meda data for generative AI model training, I think, one, we wouldn't have understood that the largest technology companies in the world would really all be beating a path to our door. I mean if you start to look at the logos and look at the client list and understand the level of diligence that's being undertaken, we have been sort of anointed as one of their major critical sources of model training data for multimodal generative AI and we're thrilled to be in that position and thrilled to deliver on their behalf. These are also multi-faceted relationships. So if you know a lot of these customers were customers of Shutterstock and our content through both an enterprise relationship or an API relationship prior to engaging with us from a data perspective. So, we're not a new company to many of these customers that we're dealing with, and there are tremendous opportunities to expand in terms of joint product development, which we're already doing with companies like OpenAI and NVIDIA and there are tremendous opportunities to participate in future generative AI model training endeavors, which we're actively undertaking with all these customers. As I've mentioned several times, these are all multi-year relationships. There are no one and done relationships. The revenue recognition is to some extent front-end loaded and so while we're not giving any 2024 guidance either for the company as a whole or specific to our data revenues, our ability to grow this business year-on-year is really going to be a function of our ability to, one, expand our existing relationships and, two, bring new clients into the pipeline. One other things that Paul mentioned that is really both exciting and challenging as we think about next year is the nature of this market will change. This demand is going to move broader into multiple industry segments and it's also going to go deeper in terms of mid-sized corporate. So the way that we deliver is going to change, the modalities are going to change and the offering is going to change along with the pricing and packaging, and I think our ability to adapt to that future expanding pipeline is what's going to really determine our ability to significantly grow this business into next year and beyond. So sorry for not directly answering your question, but wanted to provide as much, as much color as I could.
Andrew Boone: Thanks Jarrod. I actually want to go back to '24. As we think about Giphy starting to monetize advertising towards the end of this year, is there a way that we should think about the ballpark potential of advertising for that business if you guys put any pen to paper there?
Paul Hennessy: Yes. You said this kind of ad acquisition and we're just kind of dusting off the ad platform that was at one time in place, but what I will tell you is, I think this is a, over time, and I say that thinking, thinking long-term, the advertising opportunity given the size and scale of the Giphy businesses is in the hundreds of millions of dollars, not in the tens of millions of dollars.
Andrew Boone: And then I'll come back more near-term, it seems like Editorial and Studios were one of the key points of kind of positive traction on the quarter. Can you guys just double click on that and provide any additional details you have there? Thanks so much.
Jarrod Yahes: Just with respect to Editorial, Andrew, I think this is an area that we have a strong beachhead in. We've had a historical strength and what you would think of as trending and entertainment content. We doubled down on that with the Splash News acquisition and the Splash News acquisition also gave us a platform to offer for the very first time subscriptions for Editorial content, which as you would understand carry with them a recurring revenue stream and really are a better base on which to build this business. So, we're excited about the traction in Studios. We're continuing to invest in Studios. We announced a new deal with a new football team in Studios this past quarter. So we're excited about that and you should expect to see more news from us with respect to Editorial in the months to come. Paul, anything on Studios you'd call out?
Paul Hennessy: No, it just, you heard the volume, the scale and the differentiated services that we're providing around the globe. Studios becomes the place where leading companies are doing high innovation to bring new creative marketing, advertising and campaigns to their customers. And look, we think it's just the beginning for Studios, not the end. The product is in high demand and diversified demand. So, we're, we're, we're bullish.
Andrew Boone: Thank you, guys.
Jarrod Yahes: Thanks Andrew.
Operator: [Operator Instructions] I'm showing no further questions at this time, I would like to turn the call back to Paul Hennessy for closing remarks.
Paul Hennessy: Thank you. We just want to express our gratitude to our customers, contributors and employees and we like to extend a warm welcome to our new Giphy employees and we're over the moon to have them join the Shutterstock community. For those of you on the call, thank you for joining us. This ends our call for today.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.